Operator: Good day, and welcome to the First Interstate BancSystem’s Fourth Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Lisa Slyter-Bray. Please go ahead.
Lisa Slyter-Bray: Thanks, Sean. Good morning. Thank you for joining us for our fourth quarter earnings conference call. As we begin, it is worth noting that the information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those expressed by those statements. I’d like to direct all listeners to read the cautionary note regarded forward-looking statements and factors that could affect future results contained in our most recent Annual Report on Form 10-K filed with the SEC and in our earnings release as well as the risk factors identified in the Annual Report and our more recent periodic reports filed with the SEC. Relevant factors that could cause actual results to differ materially from any forward-looking statements are included in the earnings release and in our SEC filings. The company does not undertake to update any of the forward-looking statements made today. A copy of our earnings release, which contains non-GAAP financial measures is available on our website at fibk.com. Information regarding our use of non-GAAP financial measures may be found in the body of the earnings release, and reconciliation of their mostly directly comparable GAAP financial measures is included at the end of the earnings release for your reference. Joining us from management this morning are Kevin Riley, our Chief Executive Officer; and Marcy Mutch, our Chief Financial Officer; along with other members of our management team. At this time, I’ll turn the call over to Kevin Riley. Kevin?
Kevin Riley: Thanks, Lisa, and good morning, and thanks again to all of you for joining us on the call today. I’m going to start off today by reviewing our year, and then I will provide an overview of the major highlights of the quarter. And then I’ll turn the call over to Marcy Mutch in order to provide some more detail behind our financial numbers. 2018 was an amazing year for our company. We started the year with realignment of our executive team, allowing us to provide better clarity around roles and responsibilities. With the executive team in place, we formed the next level leadership, our senior leadership team. It is so gratifying to watch these talented individuals develop and collaborate with one another. The gender diversity is about 50-50 male, female, and their age, young, talented bankers, the future of banking. This is the leadership team that is helping us to understand and address the needs of our diverse customer base. In an effort to stay relevant, we continued to build out our technology infrastructure, finishing up projects that were started in 2017 and embarking on new ones. This is all in an effort to make us able to compete in this ever-changing world. This year, we continue to enhance our digital app, which is highly regarded and rated 4.7 at the Apple Store. We’re currently building on online application processes, which will start rolling out in the first quarter. All these improvements will either allow our customers to receive our prices and services in a manner of their choosing and at a time that is convenient for them or they will deliver needed tools for our staff to do a more effective and efficient job. We announced and integrated the acquisition of INB this year and announced the acquisition of Idaho Independent and Community 1st. We had organic growth of around 4% and an operating net interest margin that expanded 32 basis points over 2018, excluding interest accretion and interest recoveries. This occurred even with us paying the highest rates on deposits in our markets. Our credit quality continues to improve and our dividends continue to increase. We have spent time and resources to make sure our company is in the position to be successful and is constantly evolving banking industry. We have built a strong management team. We have implemented processes that are efficient, effective and scalable as we grow, and we recognize that in order to survive in this digital era, we have to have the technology that suits our clients’ needs. We are in the business for the long haul. Our goal is to be the premier regional community bank, who is determined to deliver long-term shareholder value. Now onto the fourth quarter. We generated $40.4 million in net income for the fourth quarter or $0.67 per share, which includes $7 million of merger-related expenses, which had a negative impact of about $0.09 per share. Our fourth quarter performance reflects how well positioned we are to deliver strong results in this current interest rate environment without reaching for loan growth or taking unacceptable credit risks. Despite the slight decline in our total loans during the quarter, our net interest income increased more than 8% from the prior quarter. This was primarily due to the higher levels of earning assets and an increase in our net interest margin. Our net interest margin increased another 11 basis points during the quarter. And over the past year, we’ve seen our margin expand 28 basis points. This reflects the strong benefits we are gaining from repricing our earning assets as well as effective management of our deposit cost. Our loan balances declined a bit from the prior quarter, which is largely attributable to the seasonality in the portfolio like ag and our indirect auto, as well as the continued runoff of balances from certain residential real estate and purchase portfolios added in the Cascade acquisition. We also did a little pruning in the portfolio this quarter to exit some low-quality credits from the bank, which also impact our loan growth by help drive our net decline of $24 million in our criticized loans from the end of the prior quarter. We partially offset these declines with nice growth across our commercial real estate and construction lending portfolios. For the full year, excluding the decline in the two acquired Cascade portfolios, which we intentionally have runoff, our total organic loan growth was approximately 4%, which was lighter than we expected. But we just didn’t see enough quality lending opportunities to meet our targets and we weren’t willing to compromise on pricing and structure just to hit the guidance we provided. We’re going to maintain our credit standards, even if it means we might have a period of low loan growth. So while it’s disappointing not to hit the anticipated organic growth targets, we have taken the prudent approach that will serve our shareholders well over the long term. Another take away from our experience in 2018 was the difference between our two regions, the Mountain division and our West division. For the full year, our Mountain division produced organic loan growth of approximately 2%, while our West division produced organic loan growth of approximately 8.5%. This illustrates the importance of expanding our presence into the West to enhance our overall growth profile. And with the recent acquisition of INB and the two pending acquisitions in Ohio – Idaho, I mean, we are certainly increasing our exposure to high-growth markets and putting the bank in a better position to generate more organic growth – loan growth in the years ahead. Looking at our deposit trends, we were down $165 million from the prior quarter, with most of that coming from our demand deposit accounts. We had about $100 million of deposits that were withdrawn from various transaction and investment opportunities on December 31, by a number of our commercial customers. We continue to have these deposit relationships with – and we would expect these balances to rebuild over time. This late quarter outflow mass, the otherwise positive trend in deposits as our average balance of noninterest-bearing deposits increased $228 million compared to the prior quarter. So with those comments, I’d like to turn the call over to Marcy for a little more detail behind the Marcy – the numbers. Go ahead, Marcy.
Marcy Mutch: Thanks, Kevin, and good morning, everyone. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the third quarter of 2018. And I’ll begin with our income statement. As Kevin stated, our net interest income increased 8% from the prior quarter due to higher levels of earning assets and an expanded net interest margin. Included in net interest income this quarter was charged-off interest of $700,000, which was the same amount as last quarter. Total accretion income on the acquired portfolios was $4.1 million this quarter, which was $500,000 more than the third quarter. Included in this was accretion related to early payoffs of $1.7 million this quarter, which was $200,000 more than last quarter. Prior to the closing of our two pending acquisitions, we expect scheduled accretion to run at approximately $2 million per quarter. On a reported basis, our net interest margin increased 11 basis points to 3.99% in the fourth quarter. Excluding the impact of charged-off interest and loan accretion, our operating net interest margin also increased 11 basis points to 3.84%. The expansion in our operating net interest margin was driven by a 14 basis point increase in our yield on earning assets, excluding charged-off interest and loan accretion, which was offset by a 3 basis point increase in our cost of funds. The increase in our earning assets yields is being driven by increases in both average loan yields and the yields on our investment securities. With the full quarter impact of the rate increase in September, we saw further benefit from the repricing in our loan portfolio, which drove our average loan yields up 14 basis points to 5.02% on an operating basis. The yield on our investment portfolio also increased by 8 basis points in the third quarter to 2.32%. We’re putting new money to work in the investment portfolio at over 3%, and the duration of the portfolio remains short at about 2.5 years. We continued to stay the course and increased deposit rates with each Fed increase, and December was no exception. Even with this move, we expect that our operating net interest margin will stay flat to slightly up. Moving to non-interest income. We saw a decrease of $1.9 million quarter-over-quarter to $34.3 million. We experienced the largest decline in our mortgage banking revenue, which was down $1.1 million from the prior quarter. In addition to the seasonal decline in mortgage loan production, we continue to see lower demand for refinancing, given the increase in mortgage rates. In the fourth quarter, loans originated for purchase accounted for 83% of our total production, up from 69% in the same period in 2017. Looking at our expectations for mortgage banking in 2019, we expect to see further decline in demand for refinancing, but we expect to offset this as we gain traction with our mortgage offerings in the West division and as we introduce our online mortgage application process. As a result, we think the production – origination production will be flat to slightly up compared to 2018, and we don’t expect to see significant additional compression in the gain on sale margins. As a result, we think our mortgage banking revenues will grow in the low-single digit range this year. Moving to total non-interest expense. We incurred $7 million in acquisition-related expenses this quarter. Excluding these expenses, our non-interest expense increased by $4.8 million. This was attributable to the full quarter impact of INB, pre cost saves and higher incentive compensation accruals as a result of our performance during the year. Heading into this year, as a result of our pending acquisitions, we will have a lot of moving parts around our expense levels, and so I want to provide some projections to help you with your modeling. As I stated last quarter, our post-integration run rate for INB will add between $5 million to $6 million to our historical run rate. So with the inclusion of INB, the impact of annual salary increases and the impact from the reset of payroll taxes, we expect our operating expenses to be approximately $92 million for the first quarter prior to the addition of Idaho Independent and Community 1st, which should close early in the second quarter. In the middle of the year, our expenses will be elevated as a result of the Idaho Independent and Community 1st Bank acquisitions as we will not see the full benefit of cost saves until the third quarter. By the fourth quarter, we expect our expense levels to come out right about $96 million a quarter. So for the year, excluding acquisition costs, non-interest expenses should be around 2.73% of total average assets of $13.9 billion. As we have been discussing, we have a lot going around – going on around operating and technology initiatives this year. We recognize that as we grow, it is critical to keep our expenses in line. As a result, we’ve made it an organizational priority to increase our discipline around expense management, and we believe we will have more success this year in meeting our projections. Okay. So moving on, Kevin already addressed our loan and deposit trends, so I’ll move to asset quality. We saw positive trends across the portfolio this quarter. Our non-performing assets decreased $11.2 million, which was due to the effective execution of workout strategies for problem commercial and commercial real estate loans. Our criticized loans decreased $23.6 million, which was driven by both payoff and the sale of approximately $9 million in lower-rated construction and commercial real estate loans. Excluding the loans we added through the INB acquisition, we saw steady declines in our criticized and classified loans throughout 2018. Since we implemented changes back in 2017 to improve our credit administration processes, our risk rating system and creating a special assets group, we have been able to more effectively manage our problem loans. These changes have demonstrated themselves to be effective and have positively impacted the quality of the overall portfolio. We had $2.2 million of net charge-offs during the quarter or 10 basis points of average loans on an annualized basis. $1.1 million of our charge-offs were specifically allocated losses within our allowance. We recorded $1.6 million in provision expense, which kept our allowance for loan losses at 86 basis points of total loans and increased our coverage of non-performing loans to 126%. And as you know, the allowance does not take acquired loans into consideration, but combining the allowance with remaining loan discount on the acquired portfolios is 1.29% of total loans. With the new measurement and reporting requirements for CECL quickly coming into play for 2020, we are well into the process of building out the requirements that will allow us to make this time line. During 2018, we had third-party assessments of our data and identified potential gaps. We since identified ways to mitigate or solve for those gaps and have a roadmap to continue enhancements to our data structure and capabilities. We will be leveraging our Oracle platform to support the end-to-end processes, including aggregation of the information, loss modeling and providing the required disclosures for our financial statements. We’ve identified the models that we’ll be using to run the calculations for the various loan portfolio segments and are currently working with the third-party to help build-out our end-to-end processes and loss models to allow parallel runs. We will continue to keep you informed as we work through this process in 2019. And then before I wrap up and looking at analyst estimates for this year, there seems to be some confusion around our weighted average share count for 2019. So I’d like to provide some expectations around our quarterly weighted average share count for modeling purposes. In the first quarter, prior to the close of our two pending acquisitions, we expect quarterly average shares outstanding to be approximately 60.8 million shares. In the second quarter, during which we expect to close the acquisitions, we expect the quarterly average shares outstanding to be approximately 66.2 million shares. And in the third quarter, with the impact of the new shares issued in the acquisition, we expect the weighted average share count to be 66.3 million shares. So with that, I’ll turn the call back over to Kevin.
Kevin Riley: Thank you, Marcy, and nice job as always. I’m going to wrap up with a few comments about our outlook. We anticipate 2019 to be another year of progress in the evolution of First Interstate from a relatively small community bank to a dynamic regional community bank with a footprint spanning across six states. As always, our focus will be on people, processes and technology. As we increase our presence in fast-growing markets and go against larger banks, it’s critical that we have the technology in place to compete from a customer service standpoint. These improvements will further enhance our community bank model. We are particularly excited about this year’s rollout of enhanced digital capabilities. It will start with the delivery of our online mortgage application process as we head into the height of the production cycle. And additionally in 2019, we’ll introduce online credit card applications. And further down the road, we’ll have online small business loan applications and guided wealth management offerings. We will also be making it easier and more efficient for both our customers and our employees to do business by enabling e-signature and document transmittal through secure e-mail during 2019. Collectively, we believe these new digital capabilities will enhance our business development efforts by making it easier for employees at all levels of the organization to assist customers in starting loan applications and finishing them. We will also improve our overall banking experience by giving customers a wider choice in how they want to engage with First Interstate and do business with us in a way that they want. And other issues that we’re working on is our loan transformation project that will enhance our speed to market for small business loans. When completed, we will have the standardized process in place for closing and onboarding new clients that quickly and efficiently provide our operations team with the information they need on new loans, so that our frontline folks can spend less time processing paperwork and can spend more time with their clients and prospects. And finally, we’re making important upgrades in our technology infrastructure that will support our long-term growth to the company. This includes optimizing our core system and building an integration layer that will give us a plug-and-play IT environment, which will enable us to be faster and more nimble in implementing new technologies in the future. All the investment of these initiatives should be completed by the end of the third quarter, and we will be getting – we will be then in a good position to start realizing all their benefits in 2020. Aside from technology initiatives, our major focus this year will be fully realizing the synergies from our INB acquisition and completing the acquisition and integration of Idaho Independent and Community 1st. As I mentioned, earlier, the West region is clearly the growth engine of the company, and we believe increasing our exposure to high-growth markets in Idaho will enhance our overall growth profile of our franchise. We look at the two regions as an excellent complement to our franchise with exceptional value and earnings power. The combination of attractive, low-cost deposits in our Mountain region and the higher loan growth opportunities in our West region provide us with the ability to continue driving earnings growth and producing strong returns and creating additional value for our shareholders in the years to come. So with that, I’ll open the call up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Jared Shaw with Wells Fargo Securities. Please go ahead.
Jared Shaw: Hi, good morning.
Kevin Riley: Good morning, Jared.
Jared Shaw: Thanks for the details on the share count and the expense stuff. I guess, my first question is on the deposits. One, with the outflow this quarter, I guess, how long – you said you’d expect to get those back. Is that something that’s going to take two or three quarters or is that two or three months? I guess, what’s the timing in terms of you think being able to recover some of those DDAs? And then as a correlator to that, we saw really good low deposit beta this quarter. Do you think that that’s going to stay with us with the December rate hike into first quarter?
Kevin Riley: Just two questions. One, I think the deposit beta is going to be a little higher in the first quarter, so we’ll get that behind us. But we still think our net interest margin will be flat to slightly up even with that. I would say with regards to deposits, shocking to us that they all ran out on the 31st of the month. But normally, seasonally, we have deposits that kind of runoff or deteriorate a little bit in the first quarter as we see in the prior years. But last year, we actually had an increase, which was a surprising first quarter. But then, what we’re going to see is deposits then start flattening out in the second quarter and we normally see our growth cycle in the third and fourth quarter. That’s kind of the cycle we have with regards to deposit balances.
Jared Shaw: Okay. And that should replicate itself this year with that then?
Kevin Riley: Yes. I would say that maybe some of the deposit runoff happened one day earlier than normal, but it – I believe that, that probably will be the same cycle that we see.
Jared Shaw: Okay. And then on the fee income side, on wealth management that has been relatively stable for a while now. Do you think – what are the opportunities to grow that especially in the newer regions? And I guess, how should we be expecting to see that trend over the year?
Kevin Riley: I’ll have Renee Newman answer that, our Chief Banking Officer.
Renee Newman: Hi, Jared. Yes, we are continuing to look for ways for our efficiencies and effectiveness to grow our revenues in the wealth management space. We are looking to expand in the West, so we are – we’ve hired wealth adviser in our Spokane region. We’re looking to do so as well in Idaho, so we’re wanting to strategically place those individuals in our highest opportunity markets.
Jared Shaw: Okay, great. Thank you.
Operator: Our next question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Good morning.
Kevin Riley: Good morning, Jeff.
Jeff Rulis: Kevin, you mentioned you did some pruning in the portfolio this quarter. I guess, could you characterize what you think in 2019, if there’s some more heavy lifting to go? And maybe if you could touch on kind of net growth outlook for 2019 on loans? Thanks.
Kevin Riley: I’ll start with net growth. We’re looking at net growth to be somewhere around mid-single digits. We’re coming off the high – so we believe that with some of the things that are going out there, that mid-single digit growth is probably what we’re going to be seeing next year. With regards to pruning more asset quality issues, I’m going to have our Chief Credit Officer, Steve Yose, answer that question.
Steve Yose: Yes. We’re always looking at opportunities to improve our asset quality. And as you look at what happened this quarter, several of the non-accrual loans, loans that paid off were long-term criticized loans. So we have a focus on our special assets group to consistently look at how – if they are a non-accrual, how we exit those relationships. Do we have a potential to sell those and we will continue to do that in 2019. We don’t know what’s going to happen with the economy, so we hope the criticized loans stay stable. But with the economic winds ahead of us, I can’t say for certain what it’ll look like this year. Other than, we’ll continue our focused effort on improving asset quality.
Kevin Riley: The good news is that we still have competitors out there willing to take some of these quality assets off our balance sheet, so we hope that continues and they stay healthy during this credit cycle because once they get full of those type of assets, they probably wouldn’t want to take anymore of ours. So…
Jeff Rulis: Fair enough. The reductions in the NPAs, any color on that as far as what those loan types were and may be as a pretty good like down kind of timing wise. If you could just talk about the reductions out of that bucket, that would be great.
Kevin Riley: Yes. Steve’s going to handle that again.
Steve Yose: They were in the hospitality sector. We had some of the hospitality sector as well as some multifamily related to the oil and gas industry. So these were long-term assets that we had been trying to exit, that we exited successfully and with minimal loss.
Jeff Rulis: Great. And one last one, just wanted to confirm the conversion of NBCT. Is that complete? And just an update on are all the cost saves baked in at this point?
Kevin Riley: Yes. INB is totally completed, converted and all cost saves are now taken – are in place.
Jeff Rulis: Thanks. That’s if for me.
Operator: Our next question comes from Gordon McGuire with Stephens Incorporated. Please go ahead.
Gordon McGuire: Good morning.
Kevin Riley: Good morning, Gordon.
Gordon McGuire: Marcy, I appreciate the color on the expense guidance. I just wanted to confirm that 2.7% (28:41) expense assets you referenced, that was a full year number, correct? And then just appreciating all the noise with the pending acquisitions, the infrastructure, the digital banking investments you’re making, how should we think about that ratio into 2020 as those investments may be slow or you start to reap some efficiencies from that?
Marcy Mutch: So the 2.73% to average assets was a full year projection for our expenses, excluding acquisition costs. And then we would expect that 2.73% to come down as we head into 2020. And again, our long-term goal is to get that down closer to 2.65%. So that’s the direction that we’re headed. We won’t get there overnight, but that’s where our focus is.
Kevin Riley: Yes. And all this investment in technology and process improvements, that’s always been baked in our numbers. And we’re just hoping that the end is coming in the third quarter, so that we can start not having to have those expenses in our run rate.
Gordon McGuire: Sure. And then, Marcy, on the mortgage guide, the low single-digit growth there, did that include the acquisitions or was that organic for First Interstate?
Marcy Mutch: That includes the acquisitions.
Gordon McGuire: And then the last thing just on the invested liquidity. It looks like the interest-bearing deposits are now kind of yields or now kind of in parity with the investment portfolio. How are you thinking about liquidity deployment here and has that changed any in recent months?
Kevin Riley: Can you ask that question one more time because I didn’t follow it neither did Marcy.
Gordon McGuire: Sorry. I’m just looking at the investment portfolio and the yields there versus the interest-bearing deposits in your liquidity. It looks like those yields are at parity now. Maybe the interest-bearing deposits are a little ahead of the investment portfolio. And I’m just wondering if there’s any thoughts or changes to your investment strategy going forward?
Marcy Mutch: So that investment portfolio runs off about $120 million to $130 million a quarter, and we’re continuing to invest in that portfolio. We would expect the yield in our investment securities portfolio on average to come up quicker. And then we are looking at the possibility of moving more of our cash into the investment portfolio.
Gordon McGuire: Great. Thank you guys.
Operator: Our next question comes from Matthew Clark with Piper Jaffray. Please go ahead.
Matthew Clark: Hi, good morning.
Kevin Riley: Good morning, Matt.
Matthew Clark: Can you give us the weighted average rate on new production this quarter?
Marcy Mutch: Yes. It was 5.71%.
Matthew Clark: Okay. And then the $96 million operating expense run rate in the fourth quarter of this year. I assume that includes the Idaho acquisition. And if so, could you give us the contribution from those two deals in that run rate?
Marcy Mutch: Yes. It does include the Idaho – the two new pending acquisitions. The run rate during – yes, it’s between $4 million to $5 million a quarter.
Kevin Riley: After cost saves.
Marcy Mutch: After cost saves.
Kevin Riley: After cost saves are taken out.
Matthew Clark: Yeah.
Kevin Riley: Okay, great. And then the – in terms of the deliberate you’ve done with Cascade, do you have that number for full year 2018? I think it was $71 million year-to-date after the third quarter. Just curious where that stood at the end of the year? And whether or not you would say similar headwinds with the two Idaho acquisitions or not?
Marcy Mutch: For the full year, it was just a little over $101 million. And for 2019, we expect that to slow down a bit because we’re not anticipating today any payoff of this next portfolio, although that could happen. But we’re looking at around $40 million of runoff from that portfolio this year.
Matthew Clark: Okay. And then with the two pending acquisitions, do you see a need to have to do that as well?
Kevin Riley: No.
Matthew Clark: Okay. Okay, and then last one, Just any update on the M&A outlook in terms of things that you might want to consider, size, geography, chatter?
Kevin Riley: I would tell you that there’s a lot of banks, one that would be taken out and paid for, but we’re being very strategic in what we do in moving this company forward as we have in the past. We’ll continue being disciplined exactly who we partner with going forward to enhance our franchise. And I would say that again, we’ll probably be looking to the Northwest and building that growth profile as we go forward, but we need to say no a lot, I’ll tell you that.
Marcy Mutch: You probably hear as much chatter as we do.
Matthew Clark: Okay. Fair enough, thanks.
Operator: Our next question comes from Jackie Bohlen with KBW. Please go ahead.
Jackie Bohlen: Hi, good morning.
Kevin Riley: Good morning, Jackie.
Jackie Bohlen: Marcy, question on the $13.9 billion you provided for the average assets for 2019, if I understood that correctly. Are you anticipating a slower level of balance sheet growth versus overall loan and deposit growth in 2019?
Marcy Mutch: Organically?
Jackie Bohlen: Yes.
Marcy Mutch: It’ll be...
Kevin Riley: It’ll be about the same because we didn’t have really robust – we’re thinking about perhaps the same growth for next year.
Jackie Bohlen: Okay. And that $13.9 billion number, that is, in average, anticipated for the full year, right?
Marcy Mutch: It is with the IIBK and Community 1st acquisitions coming in early in the second quarter.
Jackie Bohlen: Okay. Thank you. Sorry, go ahead.
Marcy Mutch: CFO No. Go ahead.
Jackie Bohlen: And then with the share count you provided, and thank you for that, just a point of clarity. Was that basic or diluted?
Marcy Mutch: That was basic.
Jackie Bohlen: And do you anticipate any major changes to the diluted factor?
Marcy Mutch: No.
Jackie Bohlen: Okay, thank you. And then actually everything else I have already been asked. Thank you.
Kevin Riley: Thanks, Jackie.
Operator: [Operator Instructions] Our next question comes from Andrew Liesch with Sandler O’Neill. Please go ahead.
Andrew Liesch: Good morning, everyone.
Kevin Riley: Good morning, Andrew.
Andrew Liesch: Yes. Just one follow-up question around your margin guidance. Now recognizing that deposit betas are going to be a little bit higher this quarter, but you also – I mean, the loan yields are moving up nicely as well. Why not more optimism around the margin? Why – what is going to cause it to stay near the flatter end of your guidance?
Kevin Riley: We just don’t know what – how – we’re increasing our deposit costs up. Again, we’re not getting too much pressure on that, but we just – we always are cautioned in the area around how fast other banks might start raising their deposits, but we feel we’re in a good position. We don’t get a lot of competition after our rate increases and stuff. And I’d say that margin would be slightly up if we have to combat unreasonable – I wouldn’t say unreasonable pricing, just higher prices that would have – we probably want to meet those.
Andrew Liesch: Okay. Thanks.
Operator: At this time, there are no further questions in the question queue. This will conclude our question-and-answer session. I would now like to turn the conference back over to Kevin Riley for any closing remarks.
Kevin Riley: Thank you for your questions. And as always, we welcome calls from our investors and analysts. Please reach out to us if you have any follow-up questions. Thanks for tuning in today, and goodbye.
Operator: Thank you for attending today’s presentation. The conference has now concluded, and you may now disconnect.